Operator: Good day, ladies and gentlemen. Thank you for standing by, and welcome to the Pinduoduo Third Quarter 2021 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded.  I will now turn the call over to your host for today's call, Mr. Chung Khoan [ph]. Please go ahead, sir.
Unidentified Company Representative: Thank you, operator. Hello, everyone, and thank you for joining us today. My name is Chen, and I will help host the earnings call today. Pinduoduo earnings release was distributed earlier and is available on our website at investor.pinduoduo.com as well as through GlobeNewswire services. Before we begin, I would like to refer you to our Safe Harbor statements in earnings press release which applies to this call, as we will make certain forward-looking statements. Also, this call includes discussions of certain non-GAAP financial measures. Please refer to our earnings release, which contains a reconciliation of the non-GAAP measures to GAAP measures. Joining us today on the call are Chen Lei, our Chairman and Chief Executive Officer; Tony Ma, our VP of Finance. Lei will make some general remarks on our performance for the past quarter and our strategic focus going forward. Tony will then elaborate further on specific strategic initiatives and take us through our financial results for the third quarter ended September 30, 2021. After that, we will open the floor to questions from analysts. During the Q&A session, Lei will answer your questions in Chinese and Preston [ph] will help translate. Please kindly note that all translation provided are for ease of reference only. In case of any discrepancy between our original remarks and translated version, statements in the original language should prevail. Now it is my pleasure to introduce our Chairman and Chief Executive Officer, Chen Lei. Lei, please go ahead.
Chen Lei : Thank you, Chung. Hello, everyone, and thank you for joining our results announcement for the third quarter of 2021. Our total revenue for this quarter, excluding revenue from merchandise sales, was RMB 21.4 billion. This represents a year-on-year increase of 55%. Our annual active buyers reached 867.3 million for the 12 months ending on September 30. Over the quarter, average MAU increased to 741.5 million. Pinduoduo turned 6, last month. We are grateful for opportunities to serve our users, farmers, merchants and everyone who has interacted with us in the past 6 years, and we hope to continue serving them. It has been over a year since I took over as a CEO and half year as Chairman of the Board. Over this period, we have been busy watching our transition, which I'm happy to report has been gradual and on track. There are two major things to this transition has been happening behind the scenes. The first is grooming younger talent and leaders. The second is shifting to more focused investments in R&D from a previous focus on sales and marketing for the first five years. And now let me elaborate. First, on grooming younger talent and leaders. Since the beginning of last year, we have witnessed many of our younger team members stepping up to take more responsibility. This young men and women demonstrated their core value of commitment to our users. When COVID-19 was struck and disrupted our daily lives, many among our young team immediately took actions to source essential supplies and deliver to users in need. When heavy rains got stuck Henan in July, they explain interaction to source out our stocks and coordinate the logistics so that our users will not run out of daily necessities. This unforeseeable event has accelerated their maturity and sent our several goods to our users and suppliers. We are encouraged to see more with potential to become future leaders of our business. They make practical business decisions actually strongly, exceeding our expectations. I'm proud to be able to work alongside with this young team. Despite the age, many of them has been with the company for a number of years and have matured on the job and shaping the future of this company. Young talent a great creative, vigor and constantly innovate. I more than taking a critical role in the next 6 to 12 months as we continue to create opportunities for them to step up. And second, shifting to more focused and investment in research and development. We are already serving 867 million users. To leverage our strength of having a management with years of engineering training, we'll be increasing our research development investments. This is a significant shift in strategy from our first 5 years when we were focusing much more on sales and marketing. Agriculture has been the main thing and the backbone of our business since the very beginning where we saw an opportunity to create value by bringing agriculture into a digital economy. Trained as engineers, my team and I have devoted ourselves to find technology solutions to implement across agriculture supply chain. We have only scratched the surface after 6 years. There is still much more for us to do in agriculture, especially with technology. Therefore, we plan to deepen our investment in tech-enabled agriculture solutions to address critical needs in these sectors.  This includes, first, bringing more agricultural products and agriculture committee into a digital economy; and second, further improving efficiency in agriculture supply chains to meet user demand and reduce waste. Over the past 6 years, Pinduduo has provided consumers across China with wider variety of agricultural products at better prices while helping farmers to increase their income. When we started 6 years ago, we were among the first to serve agriculture produce online. And now we are connecting 16 million farmers to 867.3 million consumers nationwide. During China's Golden Week in October, agricultural related orders our platform served 279% over the same period of last year. We hope Pinduduo will be the go-to platform for quality agricultural products for farmers and consumers. We look forward to leveraging our platform to have more farmers in order to improve their livelihood and benefit their communities. To this end, we will continue to focus up before in digital inclusion in agriculture industry. We will expand our core offering on total economy at scale farmers on e-commerce and store operations. It helps them to control price, quantity in a way they on definitely in their own hand as they can sell directly to consumers. In order to expedite agriculture digitization, we plan to maintain our zero commission policy on agricultural products. At the same time, we will continue to improve consumer awareness and appreciation of agricultural produce, geographical indications and agricultural brands through technology innovations, such as live streaming, media marketing, et cetera. The most awareness consumers have, the more educated farmers are, the more value can be created to agriculture communities in China. We are also designing tech-enabled services to increase supply chain efficiency to agriculture sector. One of them is to manage local supply with local demand. At the same time, it helps reduce unnecessarily transit to provide faster options for consumers. To further cut down transportation time and reduce food not a waste, we are developing proprietary technology solutions like low planning, averaging design, analytics and culture optimization. This solution helps to lay the foundation for an infrastructure that is more sensible for agriculture produce and more environmentally sustainable. High force in applying agriculture technology go beyond matching supply and demand and extend into identifying upstream technology solutions to improve productivity, nutritional profiles and environmental sustainability. By strength in agri type applications, we also hope to make agriculture attractive to a tech service young generation. A good example of our efforts in this area is our Smart Agriculture Competition. It has demonstrated that precision farming techniques can make real improvements to farm output. Something through our competition last year have started to commercialize their technology of strawberry cultivation, exception in all start-ups and bring tangible productivity gains to farmers. This year, we have joined forward with China Agricultural University and Zhejiang University with technical gained from UN Food and agriculture organization and Zhejiang University and Research. In line with our priorities, we're expanding the challenge to accept not just yield, but the nutritional value, environmental sustainability and commercial viability. Contestants have adopted a multi-disciplinary approach, applying nutrition science, precision farming and other relevant technology to cultivate tomato. The finance team counsel cross-discipline background. Revenue from agricultural to consumer sizes. Currently, they're remotely planting tomatoes in our smart greenhouse base in Hunan. We're encouraged to see that 80% of the team members are in their 20s, bringing entirety and new ideas to a traditional agriculture sector. At the same time, we are partnering with world-class agriculture institutes to offer these young agri tech talents, tailored courses and training on topics such as greenhouse horticulture, product management and modeling. Agriculture is an industry with great potential for young people, who’s been the future in technology and who aspire to make impact for society. As an agri-focused platform, we want to leverage our platform and technology to provide more opportunities for young talents to join agriculture sector, working with them to apply technology to improve every link of agriculture supply chain. Investing technology to improve agriculture sectors is important as a challenging task. It implies our long-term commitment, and we will be patient and systematic. We hope that through our efforts, we can help build a smarter and more sustainable future for agriculture. Last quarter, we announced the launch of our 10 billion agriculture initiative, which seeks to address critical needs in the agricultural sector and rural areas. This initiative will not be driven by profit or commercial goals, but drive the facility, the advancement of agritech, promote digital inclusion and provide agritech talent with greater motivation and sense of achievement. Profit from the second quarter and any potential profit in the future quarters will go into this initiative until the final goal of 10 billion is met. The profit for the third quarter will also go into this initiative. After receiving Board involvement, we held an EGM at end of September and the initiative was approved by our shareholders. Pinduduo is closely connected to the community that we operate in. This point is crucial to our development and we intend to support them to the best of our ability. Therefore, we are committed to take on more responsibility to society. In July, we plunged into action of the [indiscernible]. We donated RMB 100 million to flood relief and launched a portal to support emergency relief distribution. The total grocery network in physical stock of food and emergency supplies and worked with suppliers to secure and dispute necessities to our nearly 20,000 partners there. In October, we also contributed to the relief effort in response to the heavy rain there, donating RMB 50 million to Shaanxi charity foundation to carry out emergency disaster relief and post disaster risk construction work. Looking forward, we plan to do more to contribute to society. We will continue to proactively leverage our platform and resources to serve our users; farmers, merchants and their communities better. Thank you. And now let me pass it onto Tony.
Jing Ma: Thank you, Lei. Hello, everyone. Let me begin by sharing highlights of some of our agriculture initiatives in the past quarter. Then I will discuss our financials for the quarter. First, as part of our efforts for the digital inclusion of farmers, we initiated and supported a series of agricultural promotion activities to strengthen the direct connection between farmers and the consumers. Autumn is a harvest season. And this September, we were the main platform of the farmers' harvest festival and its golden autumn consumption season. We launched the Duo Duo Harvest Hall and designed a series of initiatives to help farmers to sell better, including live streaming, merchant training, traffic support, et cetera. Over 280,000 agri merchants participated in our event this year, nearly double the number last year. In September, we joined the Ministry of Agriculture and Rural Affairs Farmers Daily and the China Green Food Development Center to kick off the 2021 campaign of China's GI Agricultural Products Tour. The campaign helps to promote the agriculture products and their regional heritage, helping to recognize quality agricultural products across China. To support the campaign, we provided the technical and platform support. We offered online and off-line training, including marketing and branding techniques tailored to GI products. During China's Golden Week in October, a plan when families typically reunite and enjoy meals together, we rolled out various initiatives to make more agriculture produce across the nation easily accessible through our platform. These initiatives helped to increase agriculture-related orders, which surged 279% over the same period last year. Second, we are stepping up efforts to raise consumer awareness, appreciation and demand for quality agricultural produce in the producing regions. In October, we launched our Apple Golden Week. We worked with farmers in 6 major apple producing regions: Shanxi, Shandong, Gansu, Sichuan, and Xinjiang to develop a grading and direct distribution food framework. This framework helps to provide consumers with delicious and high-quality apples and build awareness of the places where these apples were cultivated. As part of this initiative, our fruit selection team stationed in these regions for months to study local markets and help train high-quality apple merchants with strong supply chain capabilities. Alongside these drives, we are also working with research institutes to implement industry standards for agricultural products. We partnered with the Jiangsu Freshwater Fishery Research Institute, our industry standards for Chinese meat and crops. These standards cover quality, size, packaging and transport which will provide consumers with a clear basis to make and inform the decision of their purchases. We hope to help farmers to promote their product, better meet the demand and the expectations of the consumers for quality goods and services and build a sustainable business on our platform. Therefore, we will continue to maintain our zero commission policy for agricultural products. Now let me walk through our third quarter results. Our annual active buyers for the last 12 months ending September 30, 2021, increased to 867.3 million, up 17.4 million from the prior quarter. Our MAU in Q3 reached 741.5 million. This is up 15% compared to the same quarter in 2020. Given our current scale, our user growth will inevitably be more moderate going forward. At the same time, as we serve our larger user base, we also face more diversified and evolving user needs. Our task has become increasingly difficult. We hope that our younger team leaders could embrace the challenges and continue to serve users' needs innovatively. In terms of P&L, our total revenues in the quarter end September 30, 2021 were RMB 21.5 billion, up 51% from RMB 14.2 billion in the same quarter last year. Excluding revenues from our 1P trials, our total revenue grew by 55% to RMB 21.4 billion in Q3 2021, and the key driver was online marketing services. Online marketing services revenue was RMB 17.9 billion this quarter, up 44% compared to the same period last year, primarily due to the increase in merchant activities. Our transaction service revenues this quarter amounted to RMB 3.5 billion, which is up 161% compared with the same period last year. The increase in our transaction service revenues was due to two primary factors: Number one, the increase in transaction processing fees; number two, the service revenues that we recognized in connection with Duo Duo Grocery for which we provided fulfillment and other related services. Revenue from the merchandise sales from our 1P trials was RMB 80.1 million in Q3 2021 as compared to RMB 2 billion in the preceding quarter. Our 1P business was a temporary solution to meet the demand of our users on products which our merchants could not fulfill. As we see more products offering from our merchants, we expect contribution from 1P trials to be insignificant. Now moving on to costs and expenses. Our total cost of revenues increased from RMB 3.3 billion in Q3 2020 to RMB 6.6 billion this quarter. The increase was primarily due to higher cost of payment processing fees, cloud services fees and delivery and storage fees. Total operating expenses this quarter were RMB 12.8 billion as compared to RMB 12.2 billion in the same quarter of 2020. Our total non-GAAP basis, operating expenses were RMB 11.7 billion as compared to RMB 11.3 billion in the same quarter a year ago. Our non-GAAP sales and marketing expenses this quarter is RMB 9.7 billion, decreasing 1% compared to the same quarter of 2020. On a non-GAAP basis, our sales and marketing expenses as a percentage of our revenues this quarter was about 45% as compared to 89% and the 69% for the same quarter in 2019 and in 2020. The continued reduction in sales and marketing expenses as a percentage of revenue reflects our efforts to proactively reduce sales and marketing expenses as we gravitate towards more investment on R&D. On a non-GAAP basis, our general and administrative expenses was RMB 178.1 million compared to RMB 132.6 million in the same quarter of 2020. Our non-GAAP research and development expenses were RMB 1.9 billion, an increase of 30% from RMB 1.4 billion in the same quarter of 2020. This increase in R&D was primarily due to an increase in headcount and the recruitment of more experienced R&D personnel. As we continue to strengthen our technique batch to lay the foundation for future sustainable growth and continue improving our services to meet the evolving user demand, we are committed to expand our investments in R&D and expect a continued increase in R&D expenses. To sum up, operating profit for the quarter was RMB 2.1 billion on a GAAP basis compared with operating loss of RMB 1.3 billion in the same quarter of 2020. Non-GAAP operating profit was RMB 3.3 billion, compared with operating loss of RMB 339.8 million in the same quarter of 2020. Our non-GAAP operating profit as a percentage of our revenue improved from minus 2.4% in Q3 2020 to 15.2% in Q3 2021. Net income attributable to ordinary shareholders was RMB 1.6 billion as compared to net loss of RMB 784.7 million in the same quarter last year. Basic earnings per ADS was RMB 1.31 and the diluted earnings per ADS was RMB 1.15 compared with basic and diluted net loss per ADS of RMB 0.66 in the same quarter of 2020. Non-GAAP net income attributable to ordinary shareholders was RMB 3.2 billion compared with net income of RMB 466.4 million in the same quarter last year. Non-GAAP diluted earnings per ADS was RMB 2.18 compared with non-GAAP diluted net earnings per ADS of RMB 0.33 in the same quarter of 2020. In August, we announced the launch of 10 Billion Agriculture Initiative, which aims to address the critical needs in the agricultural sector and the rural areas. The initiative would not be driven by profit or commercial goals, but strive to facilitate the advancement of agritech, promote digital inclusion and provide agritech talent with greater motivation and a sense of achievement. The initiative received shareholders' approval at the AGM hold at the end of September. Profits from the third quarter will also go into this initiative. We expect the initiative to have a near-term impact on earnings per share for shareholders. That completes the profit and loss statement for the third quarter. Net cash flow provided by operating activities was RMB 8.7 billion, compared with RMB 8.3 billion in the same quarter of 2020. As of September 30, 2021, the company had RMB 97.9 billion in cash, cash equivalents and short-term investments. With that, I conclude my prepared remarks.
Unidentified Company Representative: Thank you, Tony. For today's Q&A session, we have Lei, our Chairman and Chief Executive Officer; and Tony, our VP of Finance on the line. Preston will help translate Lei's remarks in Chinese to English for ease of reference. Operator, we may now take questions from the first analyst on the line.
Operator: [Operator Instructions] Your first question comes from the line of Natalie Wu of Haitong International. Please ask your question.
Natalie Wu: Hi, good evening. Thanks for taking my question. I have two questions here. First of all, it seems that your sales and marketing expenses is tapering off. Just wondering, are you changing your ROI for sales and marketing spending? How should investors understand your future sales and marketing strategies? This is also the second consecutive quarter that your company is showing both non-GAAP and GAAP profit. Just wondering, are you prioritizing profitability over growth going forward? And should the investors expect full year profitability for 2021 and going onwards as well? And my second question is regarding the agriculture initiatives. Just wondering, can you provide an update on the CNY 10 billion initiative you started last quarter, has any investments being reflected in the latest financial results? Which financial line items has been affected? Thank you.
Chen Lei: Thank you, Natalie, for the question. And to answer your question, our high standards for sales and marketing investments ROI have not changed. But as our user base expands and our user needs diversify, we are also constantly applying macro adjustment to our ROI model. And the goal is actually to better serve our users' diversified demand. So when we were just starting, we were hoping that with the application of technology, we can serve the wider consumer pool for our principle of benefit all. So when our user base was relatively small, the investment goal was actually to attract more users to get to know about us, try different features and also try out our platform. Now as our user base is much larger, with more and more users starting to use Pinduoduo, our new challenges now is, how can we constantly encourage them to try out new categories to explore new experiences and how can we actually meet their changing and much higher expectations of us so that we can improve our trust and build longer-term user mindshare. It is a challenging task to constantly satisfy users, especially given that we have such a large and diversified base of users. It is also the challenge for our new generation of leaders. We are also learning and adjusting through iteration. But one thing that is not changing is that we will continue to hold ourselves to high ROI standards in terms of sales and marketing and spend our sales and marketing dollars in a highly disciplined manner. At the same time, we are also stepping up our investments and investing patiently for long-term development of our company. You may have noticed that we are increasing our R&D investments, which is a key area for our future investments. And in your question, you also touched upon profitability, so let me ask Tony to help address that.
Jing Ma : Okay. Natalie, coming back to your question regarding the consecutive being profitable for the past two quarters, the main contribution of our profitability in the past two quarters is the leverage efforts from sales and marketing expenses showing a decline in percentage of revenue. But for us, the profitability is not any team's KPI internally. We are more focused on the long-term investment to address users' fundamental needs. As we have been communicating with the market, to us, investment into sales and marketing is similar in nature to capital expenditure which crystallize as user mind share and long-term assets for us. So this is a strategy that we have been digitally executing for the first five years and an area where we will continue to practice financial prudence. It is worth highlighting that we are shifting our focus and investments towards R&D and expect to step up our investment there to lay the foundation for the solid long-term growth. As a result, we will expect R&D expenses to increase going forward. Coming to your second question, I think Lei will address that question, but let me just point out one comment on that. I think you mentioned about the financial impact in the third quarter for the CNY 10 billion program. Since this program has only get the EGM approval at the end of September, so in the Q3 financial results, there's nothing has been booked or reflected yet. Lei, I pass the floor back to you.
Chen Lei: I'd like to add one more point here. So after we announced our CNY 10 billion agri initiative last quarter, we have received many quality product proposals and advices from various stakeholders in the industry. So together with my team, I'm also diligently starting various proposals. That will conclude the answer for this.
Natalie Wu: Got it, very clear. Thank you Lei and Tony.
Operator: Your next question comes from the line of Thomas Chong of Jefferies. Please ask your question.
Thomas Chong: Hi, good evening. Thanks management for taking my questions. I have two questions. The first question is about the competitive landscape in online shopping as well as the impact to our site due to the increase in popularity in live streaming online shopping. And my second question is about our support measures. Can management highlight about the support measures? And how should we expect the growth rate between GMV and advertising due to the support measures? Thank you.
Chen Lei: Thank you, Thomas, for your question. Let me address this question. So in my view, e-commerce in China is a huge industry, full of vibrancy and potential. As we see mobile technologies continue to develop and the relevant infrastructure continues to mature, and also, at the same time, consumer demand is also constantly evolving, with all these moving pieces and these changes, commercially, we do expect more and more platforms entering this space, and this would make commercial sense. At the same time, we also noticed that the recent issued rules and regulatory measures are promoting healthy competition and the orderly development of the entire e-commerce sector. In our view, we think that more competition is always good in terms of promoting positive benefits and providing benefits to users, the industries and all the companies involved. For example, we have seen platform companies, including the short video platforms, entering the e-commerce sector. To us, it is not surprising to see these companies with such a huge user base and high user frequency, such as the short video platforms, to enter this space. At the same time, we are also seeing more and more platforms with sizable user base and engagement level entering this space. So let's not discuss the external factors, but I think it's always important to come back and zoom in into ourselves and see what kind of value are we providing. So Pinduduo actually started off from selling agricultural produce. We always aim to help address users' daily necessity and basic needs. So in my view, this sets us apart from the other e-commerce players and potential new entrants. And so for us, how to serve our nearly 870 million users better and remain user-centric is our concern as a company. And so the question that we constantly ask ourselves are, how could we continuously iterate to serve our users better? At the same time, are we creating value for the society? Are we promoting a green environment and sustainability? So for us, our key strategy as a company has always been to gain user trust and to create value for society, which we believe will also become our long-term assets.
Thomas Chong: My next question is about how should we think about the support measures to merchants and the growth rate between GMV and advertising as a result of the support measures? Thank you.
Jing Ma: Thank you, Thomas. Let me try to address your question. I think your question is pretty much linked to the outlook of monetization. Let me share some of our views. Our strategy has always been serving our users well, as Lei just mentioned in his response. We believe the revenue growth and monetization are a natural result of that. And our merchants’ ROI is already reflected in our revenues. As you can see, our revenue this quarter shows the healthy ROI merchants are seeing when they sell more on our platform. We do not focus on the monetization on a quarterly basis. It is a result of user satisfaction and merchant ROI. And our merchant, the monetization rate has been fluctuated in the past and it will be the case going forward. We are also raising the bar on the quality of merchants and the products to meet our users' needs to help promote agriculture produce to users and strengthen PDD as a go-to platform for agricultural products. Therefore, we are committed to keeping a 0 commission policy for agriculture and fresh produce.
Thomas Chong: Got it. Thank you.
Operator: Your next question comes from the line of Eddy Wang of Morgan Stanley.
Eddy Wang: Thank you, Lei and Tony for taking my question. I also have two questions. The first one is regarding the -- our efforts to attract more brands and branded products, merchants on our platform. we noticed that the merchandise sales actually declined significantly on a quarter-on-quarter basis. Should we suppose that this is a very ideal progress for us in the last quarter actually attract more the branded brands in our platform? That's the question number one. And the second question is about the rather weak consumption environment in China since the third quarter. So as we see that some of the competitor platform, they actually have been affected by this weak consumption significantly but seem to be very resilient. I just want to hear your view on how this -- the weak consumption had been effect on PDD, especially given that we have higher exposure to the agriculture products and the -- for example, value for money. Does that means that our GMV growth or revenue growth actually is more resilient under this environment? Thank you.
Chen Lei: So let me answer your question. I believe your first question is on brand. So as our user base increase, we are noticing that our users need and demand are also becoming more and more diversified. At the same time, we are observing that our users' needs, they do require more and they also require more abundant supply of product offering and brand. So from our view, we do think that in terms of getting more brands, this process will do take some time. At the same time, the recent anti small measures, have may -- had some initial impact, whereby we have noticed that a number of brands finally there to come to the platform and start to operate. And -- but however, store opening is a gradual process, which requires both the platform and the brands to put in resources, energy and time and to build trust and foster a successful partnership. So we do expect this to take some time and the process has to be more gradual.
Operator: Please hold and the conference will resume shortly. Thank you for your patience. [Operator Instructions] Your next question comes from the line of Joyce Ju of Bank of America. Please ask your question.
Joyce Ju: Thank Management for taking the -- giving me the chance to -- taking my questions. I have two questions. My first question is related to the regulatory environment. Could management give us an update on the recent regulatory environment, specifically the Tencent, Baba opening affect our operations? And can you also share some colors on if there are any regulatory measures that affect your operations? And second, my question is we have seen our 1P business continued to decline in the third quarter. Does this mean that you have winded down this business? Any comment on the future 1P business contribution? Thanks a lot.
Chen Lei: So we think the recent series of regulatory measures would help to promote the high-quality growth of the platform economy and the entire industry. So we have always been fully embracing and supporting the regulatory measures, and we'll continue to firmly and thoroughly implement all relevant guidance and measure. We saw that many companies are taking action and continuing to optimize under the backdrop of these changes brought forth by regulations in the industry. We are one of these companies. Our company as a whole is proactively taking this as an opportunity to improve ourselves and also to further enhance compliance with regulation. So in the short term, you may notice the impact from these changes. But in the medium to longer term though, we believe that these changes would be very beneficial to users, the industry and the companies involved in this industry.
Jing Ma: Joe, let me...
Chen Lei: We are also following up the development of opening up as you mentioned, as we believe that such measure would set a great example for platform companies and the entire sector. So we believe such measures would eventually be very beneficial for the users and the healthy development of the sector in the long run.
Jing Ma: Joyce, let me come to address your question regarding the 1P business. As we mentioned at the outset, when we started this 1P business, we already stated very clearly our 1P trial is a temporary measure to offer products that our consumers want but our merchants cannot offer at that time. So 1P is not a strategic priority for us. As we see more product offering from merchants on our platform, we do not expect a significant revenue contribution from 1P going forward.
Unidentified Company Representative: Thank you, everyone, for joining us on the conference call today. If you have any further questions, please refer to our IR team managers. Thank you, and have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.